Operator: Good afternoon. Welcome to Gaia's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Joining us today from Gaia are Jirka Rysavy, Chairman; Kiersten Medvedich, CEO; and Ned Preston, CFO. [Operator Instructions]. Before we begin, Gaia's management team would like to remind everyone that management's prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions, including, but not limited to, statements of expectations, future events or future financial performance. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. Although we believe these expectations are reasonable, Gaia management undertakes no obligation to revise any statements to reflect changes that occur after this call. Actual events or results could differ materially. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Gaia's latest annual report on Form 10-K filed with the SEC. All non-GAAP financial measures referenced in today's call are reconciled in the company's earnings press release to the most directly comparable GAAP measure. This call also contains time-sensitive information that is accurate only as of the time and date of this broadcast, March 2, 2026. Finally, I would like to remind everyone that this conference call is being webcast, and a recording will be made available for replay on Gaia's Investor Relations website at ir.gaia.com. At this time, I'd like to turn the call over to Gaia's Chairman, Jirka Rysavy. Please go ahead.
Jirka Rysavy: Good afternoon, everyone. Our first quarter was a good one. Our revenue increased to $25.5 million with a gross margin of 87.6%, which was above 87.1% average for the year. Free cash flow increased $1.1 million to $1.7 million, and our member count reached first time over 900,000. Revenue for the year grew 11% to $99 million, driven by increased member count and higher ARPU. Gross margin for the year improved 100 basis points to 87.1% from 86.1%. Our gross profit per employee increased to $827,000 from $730,000 during last year. Our free cash flow grew $2.2 million to $4.9 million. Our cash position end of the year improved to $13.5 million from $5.9 million a year ago. And Kiersten will now speak about business.
Kiersten Medvedich: Thank you, Jirka. Good afternoon, everyone. The past quarter marked an important milestone in Gaia's evolution as we continue building on our strong SVOD foundation while advancing toward a more integrated AI platform. We delivered a strong fourth quarter, growing revenue to $25.5 million and exiting the year at an annualized run rate of approximately $100 million. Subscriber growth for the quarter remained solid, adding 20,000 members. For the year, we generated approximately $5 million in free cash flow and operating efficiency continued to improve with gross profit per employee increasing to $825,000, up from $730,000 last year. With disciplined management of operating expenses, we see a clear path to profitability in 2026. Now before moving forward, I would like to briefly address a leadership update. In January, James Colquhoun's contract reached its conclusion, and we have transitioned his responsibilities to our new Chief Operating Officer, Yonathan Nuta. Yon previously spent over 5 years in executive leadership roles at Gaia from 2016 to 2021 before rejoining the company. He also served as Chief Product Officer at Babylon and Fabric bringing additional operational and product leadership experience to Gaia. With the leadership transition complete, we are focused on execution and building momentum across the business. Moving forward, our direct channel remains central to our progress. Approximately 2/3 of our direct members have been with Gaia for more than 1 year, and that percentage continues to increase. That level of loyalty speaks to the strength of our community and supports long-term lifetime value expansion. With continued investment in AI and community, the direct platform delivers a differentiated experience, driving double retention and approximately double the revenue per member compared to third-party distribution. This directly shapes our distribution strategy. Third-party platforms simply do not support the AI and community capabilities that defined the next phase of Gaia. And as a result, we are intentionally concentrating our capital and innovation focus on our direct platform. Subscriber growth remains important. However, as this strategy progresses, beginning this quarter, we will no longer report total subscriber count as a primary metric. As our business matures, we believe revenue growth, free cash flow, lifetime value and earnings provide a clear reflection of the health of our model consistent with broader SVOD industry trends. Importantly, this strategic focus is translating into financial performance, and we expect to achieve profitability in the fourth quarter this year. With high gross margins and continued operating discipline, incremental revenue is increasingly flowing through to the bottom line, positioning Gaia for sustained profitability and long-term value creation. This year, we will continue to integrate AI across the business. AI is now embedded across major functions from our code base to content production and creative workflows, improving speed, scalability and efficiency. This is reflected in our continued improvement in gross profit per employee. Late last year, we launched a beta version of our AI Guide to direct members, generating more than 2 million prompts in its first 60 days. Early engagement data showed deeper session activity and increased repeat usage following interaction with the feature. Although still early, these trends reinforce our view that combining purpose-built AI with our predominantly exclusive content library enhances the direct member experience. Now as rollout expands, we are extending AI-driven capabilities, including personalized onboarding, intelligent recommendations, enhanced search and contextual guidance, further strengthening the engagement and long-term value member. Given the strength of our direct member relationships and engagement trends, we are implementing a price increase that begins this quarter and will roll out progressively throughout the year. We are approaching this thoughtfully and churn patterns are tracking favorably relative to the prior price increase. In closing, 2026 represents an important year for Gaia. We're entering it from a position of financial strength, strong performance and a clear commitment to our members. We are staying focused on the steady progress as we build a stronger company for the long term. Now over to Ned for the financial details.
Ned Preston: Thank you, Kiersten. Revenues for the fourth quarter 2025 increased to $25.5 million from $25.1 million (sic) [ $24.1 million ] in the fourth quarter of 2024, primarily driven by growth of our member base and increasing ARPU. Gross profit in the fourth quarter increased to $22.3 million from $21.3 million in the fourth quarter of 2024. Gross margin was 87.6% for the fourth quarter. Net loss improved to negative $0.5 million or negative $0.02 per share as compared to a net loss of negative $0.8 million or negative $0.03 per share in the year ago quarter. Operating cash flow was $1.8 million for the fourth quarter with free cash flow improving $1.1 million from a year ago quarter to $1.7 million, representing the eighth consecutive quarter of positive free cash flow. Shifting to the 2025 full year financial results. Revenue for the year was $99.0 million as compared to $89.3 million in 2024, representing 11% growth on a year-over-year basis. Gross profit increased to $86.2 million from $76.9 million in 2024. Gross margin increased to 87.1% from 86.1% -- we expect gross margin to remain at this level for fiscal year 2026. Loss for the year was negative $4.5 million or negative $0.18 per share as compared to a loss of $5.2 million or negative $0.22 per share for 2024, with increased marketing spend and amortization and an operating cash flow of $5.7 million. For the year, free cash flow improved by $2.2 million to $4.9 million from $2.7 million in the prior year, further reflecting ongoing operational discipline. Our cash balance increased to $13.5 million as of December 31, 2025, up from $5.9 million a year ago with a fully available $10 million line of credit. The company's financial position continues to strengthen with double-digit revenue growth, improving margins and a growing cash balance through accelerating cash flow generation. We have all of this with 0 debt outside our mortgage on our campus, which we finalized a new 5-year extension in December. In summary, Gaia has a strengthening balance sheet. We continue to manage costs carefully and maintain healthy margins while investing in the strategic areas that will create long-term value for our shareholders. That completes my summary. I'd now like to turn the call back over to Jirka for his closing comments.
Jirka Rysavy: For a summary, in this year, we expect similar annual revenue growth rate as we just had with continuing growth of ARPU and focus on direct member, increasing gross profit per employee and continued generation of positive cash flow. This concludes our remarks. So I would like to open the call for questions. Operator, please?
Operator: [Operator Instructions] Our first question comes from Ryan Meyers with Lake Street Capital.
Ryan Meyers: Kiersten, congrats on the great quarter and being able to deliver on both the ARPU and the member growth. So just thinking about the member growth that you have seen, can you just speak to the willingness of your customers and their ability to continue to pay these higher prices as you guys enact the price increases as you did in the fourth quarter? And then how you're thinking about that in Q4 -- or sorry, in 2026?
Kiersten Medvedich: Sure. Well, our member growth in Q4 was driven by strong execution and typical seasonal strength within our core SVOD business. And as far as our price increase, we are delivering more value to our members between rolling out our AI Guide and a very strong content slate and our AI personalization. So as the price increase, we already rolled it out this quarter, and we're already seeing lower churn as compared to last year or the previous price increase.
Ryan Meyers: Got it. And then -- as we think about 2026 and some of the initiatives that you guys do have, Igniton is obviously one of those, how should we think about potentially the ability to monetize that? And then just how you're thinking about that double-digit growth in 2026, maybe the balance across ARPU, and I know you're not going to be giving the member growth or the member number anymore, but just kind of unpack that double-digit growth rate for us in 2026 and what we should be watching for?
Ned Preston: Yes. Ryan, it's Ned. So for 2026, our growth will really be coming mostly from our core business. So in regards to the price increase, our shift to more of a direct member base as well as just general momentum that we have. That will be the driver, and we'll be watching ARPU quite closely. We will, on top of that, have some of these new business initiatives. You just mentioned Igniton, but we have some others that will add, and we've given some numbers in the past. But really at this point, on a nearly $100 million revenue business, those are not material yet. The majority of our growth will come from our core business.
Jirka Rysavy: On the question about Igniton, Igniton did $3.2 million in 2025. And we really introduced the Igniton products in the second part of the year. Otherwise, it was helped by Photonics. So it will grow. I don't want to speak how fast, but it's definitely -- will probably grow faster than the core business. And I think it was all the questions.
Operator: The next question comes from the line of George Kelly with ROTH Capital Partners.
George Kelly: First, just wanted to make sure I didn't miss something. Did you reiterate the guidance for double-digit revenue growth in 2026?
Ned Preston: Yes. George, it's Ned. Yes, that's correct. We are reiterating the numbers that you have for 2026. No changes there.
Jirka Rysavy: What I said in the call will be roughly same as this year.
George Kelly: And then how much pricing are you taking?
Ned Preston: So we're between 14% and 17% price increases. And again, that's to all new customers and to all existing customers in opt-out countries, similar to what we did in October of '24.
George Kelly: Okay. And then a couple of other questions for me. AI licensing, I was wondering if you could give any detail just on the status, if that's still something you're contemplating? And if so, what's the expected timing and materiality of any of those potential AI licensing deals?
Ned Preston: Yes. So that really didn't factor in, in Q4. We're really still at the beginning stages of our AI and content licensing efforts. We're still going down that path, and we anticipate maybe a small pickup. But again, these are onetime nonrecurring revenue streams. And anything that would hit here in 2026 would really drive a little bit of upside. The numbers that we've reiterated to you are really our core business, and we're not reliant on those really nonmaterial numbers from licensing. So nothing yet. It's not something that we're going to stop pursuing, but it's not something that we're dependent on either.
George Kelly: Okay. Okay. And then last one for me is just about community. I was wondering if you could go to the mailback -- can you hear me...
Kiersten Medvedich: Can you repeat that question?
George Kelly: Yes. Sorry about that. So community. Can you give more detail just about the sort of timing of different community initiatives and what you're most excited about, I guess, with respect to the community offering in 2026?
Kiersten Medvedich: Okay. So for community, we remain on track to launch the community experience later this year, and I will be very, very excited to talk about it when we're closer to launch. But right now, we're still building it.
Jirka Rysavy: It's kind of closer to -- that means we might do the different tests, but actual launching is closer to the end of the year.
George Kelly: Yes.
Operator: The next question comes from James Sidoti with Sidoti & Company.
James Sidoti: Can you give us a sense on what percentage of your 900,000 subscribers are third-party subscribers and what the plan is to convert those subscribers to direct subscribers?
Ned Preston: Yes. Jim, it's Ned. So really, we have shared that in the past. I think we've, in the past, talked about trying to limit that to 20% from a number of third-party members as well as revenue attribution. So we'll work towards kind of bringing that down a couple of percentage points to Kiersten's earlier points around kind of a focus on first party. So for 2025, it was around that 20% level, and we'll take it from there going forward.
James Sidoti: Okay. And do you have specific things you can do to convert those that 20% to direct members? And can you give us a sense on how that -- how you can accomplish that?
Jirka Rysavy: We're not going to planning to per se actively convert a lot. We'll convert some percentage. But I think it's a valid channel. We just need to focus on marketing on our direct channel.
Kiersten Medvedich: Yes. And we'll be coming out with really strong brand campaigns this year so to let the broader audience know what the value prop is for coming to Gaia as a direct member.
James Sidoti: And it sounds like you expect to continue to be free cash flow positive. Any plans for that cash? Are there acquisition targets out there? Do you plan to share buyback? Can you share what your plans are for that?
Ned Preston: Yes. So Jim, just to be clear, our plan is to continue to be free cash flow positive. We've been free cash flow positive the last 8 quarters. But what Kiersten shared earlier is for us to be P&L positive by Q4 of this year and really not to comment on any of those other specifics. We have a strong business model with our SVOD business. We are rolling out some of these new strategic initiatives, but not really ready to comment on any sort of acquisition or other elements at this time.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Rysavy for his closing remarks.
Jirka Rysavy: Well, thank you, everyone, for joining, and we look forward to speaking with you when we report the first quarter results in early May. Thank you.
Operator: Thank you for joining us today for Gaia's Fourth Quarter 2025 Earnings Conference Call. You may now disconnect.